Operator: Good morning, and welcome to the TransUnion 2024 Fourth Quarter Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Greg Bardi, Vice President of Investor Relations. Please go ahead.
Greg Bardi: Good morning and thank you for attending today. Joining me on the call are Chris Cartwright, President and Chief Executive Officer; and Todd Cello, Executive Vice President and Chief Financial Officer. We posted our earnings release and slides to accompany this call on the TransUnion Investor Relations website this morning, and they can also be found in the current report on Form 8-K that we filed this morning. Our earnings release and the accompanying slides include various schedules, which contain more detailed information about revenue, operating expenses, and other items, as well as certain non-GAAP disclosures and financial measures along with the corresponding reconciliation of these non-GAAP financial measures to their most directly comparable GAAP measures. Today's call will be recorded, and a replay will be available on our website. We will also be making statements during this call that are forward-looking. These statements are based on current expectations and assumptions and are subject to risks and uncertainties. Actual results could differ materially from those described in the forward-looking statements because of factors discussed in today's earnings release and the comments made during this conference call and in our most recent Form 10-K, Forms 10-Q, and other reports and filings with the SEC. We do not undertake any duty to update any forward-looking statement. With that, let me turn it over to Chris.
Chris Cartwright: Thanks, Greg. Let me add my welcome and share our agenda for the call this morning. First, I'll provide the financial highlights of our fourth quarter 2024 results and recap our progress against our strategic initiatives throughout the year. Second, I'll discuss how we're building upon that momentum with our 2025 strategic priorities. Finally, Todd, will detail our fourth quarter results, 2025 guidance, and refresh capital allocation priorities. In the fourth quarter, TransUnion exceeded guidance on revenue and adjusted EBITDA for a fifth consecutive quarter. Revenue grew 9% on an organic constant currency basis above our 6% to 8% guidance. Excluding mortgage, our growth of 4% also exceeded expectations. Our U.S. market segments grew 8% in the quarter. Within that, Financial Services grew 21%. Mortgage was up 80% but was slightly below expectations as volumes moderated as interest rates rose. Non-mortgage Financial Services accelerated to 7%. Credit volumes were broadly consistent with the prior quarter, supported by overall healthy U.S. household finances. Unemployment remains low and real wages grew, although lower income consumers continue to face affordability pressures. Consumer delinquencies decreased in personal lending, remain stable in credit card and auto, and are well below historical trends in mortgage. While the Fed announced 100 basis points of interest rate reductions in September through December, they signaled a slowing pace of easing going forward. Emerging Verticals grew 4% led by double-digit growth in insurance. Consumer Interactive declined 11% as expected as we lapped a large breach win in the prior quarter and International grew 12% on a constant currency basis. India grew 18%. Asia-Pacific and Latin America also grew double-digits and Canada and Africa were up high-single-digits. During the quarter, we prepaid $45 million in debt for a total of $150 million in 2024. We also successfully refinanced over $2.3 billion of our term loans, extending our maturity profile and reducing annual interest expense by $5 million. Notably, we achieved our near term 3x leverage ratio target at year-end. Our fourth quarter concluded a productive 2024. For the year, we grew revenue by 9% on an organic constant currency basis, exceeding guidance each quarter and grew adjusted diluted EPS by 16%. We delivered these strong financial results while achieving key milestones against the three pillars of our transformation: optimizing our operating model, modernizing technology, and accelerating innovation. For our operating model optimization, we relocated over 1,000 roles from local markets to our global capability centers, enhancing workforce productivity and allowing us to provide more services from a greater variety of talent rich geographies. We also completed key steps in our technology modernization preparing us to re-platform core U.S. credit and India analytics in 2025. Key milestones included launching end-to-end capabilities for our FactorTrust short-term lending bureau, migrating our data science and analytics use cases, and enhancing the underlying capabilities of OneTru. Finally, we accelerated our pace of innovation. Over the course of 2024, we launched the first set of products built-on OneTru including TruIQ Data Enrichment, TruIQ Analytics Studio, TruValidate fraud mitigation, TruAudience Native Identity and TruAudience Data Collaboration. These products are driving strong pipeline and new business wins and we plan to continue that innovation momentum in 2025. Now our 2025 strategic priorities build on these same initiatives to deliver on our financial commitments, while continuing transform the business for the next horizon of growth. Priority one is to deliver consistent results in a subdued but stable market with material future revenue and margin upside when U.S. credit market conditions improve. Our remaining priorities focus on the same three pillars of our continued transformation. In 2025, we plan to strengthen and refine our global operating model, complete the U.S. and India technology transformations and accelerate innovation and growth across our solution suites. I'll provide high level color on our 2025 guidance before detailing these three transformation priorities, including a product specific deep dive on our consumer business in light of today's freemium launch announcement. In 2025, we expect to deliver between 3.5% to 5% revenue growth or 4.5% to 6% organic constant currency. We expect to deliver 3% to 6% adjusted EBITDA growth, which implies modest margin expansion at the high end of our range with revenue flow through and cost management supporting continued investments in growth and transformation. We anticipate 1% to 4% adjusted diluted earnings per share growth with strong operating performance partially offset by a 600 basis point headwind to growth from foreign exchange as well as a higher tax rate due to changes in global tax law such as the global minimum tax rate. Todd will provide full details on these items shortly. We continue to apply the same prudently conservative guidance methodology we used throughout 2024. We are assuming muted but stable lending activity in the U.S. which reflects volumes well below historical trends. We are not assuming any credit volume improvements from further interest rate reductions in 2025. Now excluding mortgage and breach, our underlying revenue guidance assumes similar growth to 2025. We expect mortgage to be a 2% point revenue benefit in 2025 less than the 4 percentage points of benefit experienced in 2024. We also expect breach impact to reverse from a 1% point benefit in 2024 to a 1% point headwind in 2025. Assuming for now that we do not win any large scale contracts this year. We anticipate growth in U.S. markets based on modest volume improvement in non-mortgage financial services, mortgage pricing, continued insurance strength and new wins across our solutions. In our international markets, we expect solid growth across our geographies. We anticipate India growth will moderate in the first half of the year before reaccelerating in the second half. Now, let me take a moment to detail how current U.S. credit volumes compare to historical averages. As Slide 8 highlights, mortgage and auto lending volumes remain below historical trends and credit cards and personal loans are below historically high 2022 levels. Over the last two years, we navigated these notable credit volume headwinds, which came with high decremental margins. We maintained our strong margin profile by delivering structural cost savings across the organization. We're also well-positioned for any improvement in credit volumes, which comes at high incremental margins and represents upside to our 2025 guidance. In mortgage, originations remain at low levels not seen since 1995. If interest rates come down, we see a significant refinancing opportunity as demonstrated by the brief pickup in activity in late September following the first Fed rate cut. Auto loan volume after multiple years of declines were flat in 2024. We expect modest volume growth in 2025, but used car activity remains soft. We anticipate recovery in the used car market in the coming years supported by replenished inventory and the need for consumers to replace an aging vehicle fleet. Credit card originations are above pre-pandemic levels but have declined from the peak in 2022. Small and medium sized lenders pulled back substantially throughout 2023 and have since stabilized at lower origination levels. These customers are starting to explore growth opportunities supported by replenished deposit bases and stabilizing delinquencies. Unsecured personal loans experienced a modest recovery in 2024 following slowing activity in late 2022 through 2023. Our FinTech customers are starting to position themselves for growth after a few years of retrenchment. Funding is recovering and we see healthy consumer demand for debt consolidation products. FinTech revenue across credit cards and consumer lending totaled $130 million in 2024, down from $140 million in the prior year and $175 million in 2022. Together, these dynamics support our view that volumes will improve over the medium-term to the benefit of our business. Our focus, however, is transforming the business to accelerate organic growth independent of the credit cycle. I'll spend the rest of my time discussing priorities under our three transformation pillars in 2025. We are creating a world class global operating model to build scale across the organization, standardize ways of operating and support product, geographic and vertical growth. 2024 was a step change forward. In addition to transitioning 1,000 roles to our GCCs, we strengthened our local GCC leadership by hiring senior managers within the regions. As we shift more work to the GCCs, we've implemented a rigorous playbook to mitigate knowledge transfer risk. Our centralized transition team systematically tracks and documents work processes, trains new associates, and develops a feedback loop for continuous process improvement. 2025 will be a year of continuous refinement and enhancement. Building off the successful transition of new roles to the GCCs, we're ensuring that we foster a best-in-class GCC network. We continue to train and develop and assess recent hires. We see positive indicators in terms of employee satisfaction as well as manager confidence in new hire proficiency. Across the organization, we're also examining our ways of operating to support future growth. We are enhancing collaboration across functional areas, streamlining decision making, empowering teams, and fostering stronger partnerships across the organization to unlock the full value of the business enabled by a global operating model. Now, these actions are orienting the business toward accelerated innovation in high growth product areas. As an example, we're optimizing how we gather, analyze, and incorporate voice of customer across our product portfolio. We expect these actions will drive improved customer experiences and satisfaction, faster idea generation and innovation, and increased cross-sell opportunities. Our operating model optimization is highly complementary to the next pillar of our transformation, technology modernization. We are evolving our technology capabilities into modern global cloud-based data management and product platforms. Slide 10 visualizes our platform-based approach. To orient you on this visual from the bottom up, OneDev is the internal name of our technology infrastructure operating system. OneDev drives our technology modernization savings by standardizing our infrastructure services and developer tools onto a single foundation to reduce cost and increase engineering productivity. We are adopting and evolving the OneDev platform based approach to drive enhanced security, productivity and resiliency. We also continue to uncover cost savings opportunities around third-party cloud and vendor costs. Now built off of OneDev, OneTru is our core solutions enablement platform and a key driver of innovation and revenue growth. It centralizes our common product services of data management, identity resolution, analytics and delivery. We continue to augment OneTru's underlying product services, including expanding identity attributes, enhanced matching and decisioning capabilities, and generative AI tools to support productivity improvements. These enhancements will benefit any application or product that's built on the platform. In leveraging OneTru, our seven global solutions families are being consolidated into integrated end-to-end product suites. We are rejuvenating each product line to deliver better product, quality, and time to market. We're also accelerating the pace of new product innovation. We delivered on significant milestones toward completing the first phase of our technology modernization in 2025. Let me detail our progress and next steps in migrating key applications and platforms on to OneTru by the end of this year. First, we went live with FactorTrust short-term lending bureau on OneTru in 2024, enabling several enhanced capabilities. We've now migrated roughly half of FactorTrust customers onto OneTru and will migrate the remaining customers over the course of 2025. We continue to move our internal big data and analytics environment, which we call, SHAPE onto OneTru. We activated 90% of all data science and analytics use cases by the end of 2024 and positioned ourselves to decommission the legacy platform over the course of this year. In core U.S. credit, we are now live with one of our largest U.S. credit customers for end-to-end batch and online capabilities. We are currently dual running on OneTru and our legacy platform. We are achieving a notable reduction in processing times compared to the legacy platform, which we expect to improve further. We plan to begin migrating our 50 largest U.S. credit customers later this quarter. In India, we moved five years of analytic data sets onto OneTru with 60% of local data scientists and 35% of use cases on the platform. We plan to migrate all data and analytics works to OneTru by the end of 2025, enabling us to launch our TruIQ Analytics suites and Innovation Labs in the region. And in Consumer Solutions, our freemium product launch represents a significant enhancement to our direct-to-consumer user experience. We continue to consolidate the underlying technology of our offerings, including those acquired through Sontiq onto a single global platform. As a reminder, each of these migrations are within the scope of our U.S. and India modernization program, which we expect to complete by the end of 2025 and to drive the remaining committed cost savings. With that said, we view OneTru as our destination platform globally. We selected the UK, Canada, Colombia and the Philippines as the next targets for OneTru migration in 2026 and beyond. All future migrations will be funded within normal course of business with the goal of delivering structural cost savings and accelerating the pace of innovation globally. Migrating key platforms onto OneTru is an enabler of our final transformation pillar in 2025, accelerating innovation and growth across our solutions. Before detailing our efforts across our product suite, Slide 12 provides new revenue mix disclosure, breaking down our U.S. markets and international segments by the largest solution families. Less than 50% of our U.S. revenue is now credit related a substantial shift from what was a credit-centric business a decade ago. Our international business is earlier in the product extension journey with roughly 70% of revenue tied to credit. We see substantial opportunity to bring our scalable global solutions to international markets. Across each of our solution suites, we built comprehensive strategies to accelerate innovation and growth, supported by dedicated product leaders. Slide 13 summarizes the strategic initiatives across key product lines. We plan to spotlight these individual solution families throughout the year. In 2025, we expect all four core B2B product suite: credit, marketing, fraud and communications to contribute to organic growth. Longer-term, we aspire for the solution families to grow high-single-digits or greater, raising our inherent growth rate independent of the credit cycle. This quarter though, I want to spotlight our consumer business and specifically how today's premium announcement fits within a comprehensive strategy to return Consumer Interactive to sustainable growth. Now earlier today, we announced the launch of our new direct-to-consumer experience in U.S. enabled by our strategic collaboration with Credit Sesame. The new offering allows us to more fully serve tens of millions of consumers who visit TransUnion properties annually with a highly engaging freemium credit education and management solution that will be integrated with enhanced premium credit monitoring services. We will launch the new platform in phases throughout the first half of 2025. In the new experience, U.S. consumers can sign-up for a suite of free credit education and management services, including a daily credit score on TU's website and app. Consumers also have access to a growing network of financial offers tailored to their goals and credit profile. This initiative combines unique capabilities from both Credit Sesame and TU. Credit Sesame brings its expertise in developing and managing a highly intuitive credit education and management experience in an associated offer network. TransUnion provides our credit data, our well-known brand, organic consumer traffic and our existing consumer base. We will manage marketing, consumer servicing and ongoing operational and compliance controls. And going forward, TransUnion and Credit Sesame plan to innovate on the platform and expand the network of offer partners. We are excited to expand into the multibillion dollar freemium credit management market. We believe we've got a right to win in the space given our brand recognition, our volume of consumer traffic and deep relationships with lenders and insurers. By collaborating with Credit Sesame, we accelerate our speed to market and reduce our upfront technology investment when compared to building the platform ourselves. Our agreement also ensures continued access to Credit Sesame's pipeline of innovation. Our freemium offering supports deeper relationships with consumers and customers. Only a fraction of the tens of millions of consumers who visit TU digital properties convert to our current premium services. In the new freemium experience, we will engage significantly more consumers and keep them in our ecosystem longer by offering a streamlined path to upgrade to premium services or downgrade back to free services providing choice and flexibility as a consumer's needs evolve. Our larger engaged consumer audience also benefits our financial services and insurance customers, providing them with an additional acquisition channel. We have received positive feedback from customers during the initial planning. We also continue to reinvigorate our Consumer Interactive business after the last few years of revenue pressure. We aligned the business within U.S. markets. We've added capabilities such as identity protection and breach remediation through the Sontiq acquisition, and we continue to modernize the technology platform. Our direct-to-consumer freemium launch fills a significant gap in our product line. We can now expansively engage and empower consumers with the best fit offerings to achieve their financial goals. Also, our planned acquisition of Monevo adds to our capabilities and is expected to close by the second quarter. Monevo's centralized decisioning infrastructure enables lenders and banks to deliver highly personalized credit offers to consumers through freemium players and other online brands. Monevo delivers benefits to publishers, customers, and consumers alike. Publishers can deliver more personalized engagement and successfully matched offers, driving higher conversion rates, lenders can minimize adverse selection and optimize acquisition costs and consumers can gain confidence in their likelihood of approval for credit products before applying. We plan to eventually leverage Monevo's capabilities within our direct-to-consumer offerings as well. Now we believe our expanded offering positions Consumer Interactive for sustainable mid-single-digit or greater revenue growth over the longer-term. Now let me detail the growth dynamics across each component of the business. In our direct channel, we have been stabilizing our premium subscriber base, resulting in dissipating declines throughout 2024. Our freemium offering expands our growth opportunity this year. 2025 will be a transition as we migrate subscribers and begin marketing with the expanded offering. We expect to build traction throughout the year. In our indirect channel, we expect to benefit from stabilization and lending activity, which will drive increased consumer engagement and expand utilization of our channel partners for marketing. We also aim to expand wallet share with customers including with personalized offers enabled through the acquisition of Monevo. Finally, revenues in identity protection and breach solutions, which we acquired via Sontiq, have scaled from $95 million in 2022 to $165 million in 2024. We are increasingly winning small and large breach remediation deals through the combined capabilities of Sontiq and TransUnion. These revenues can be uneven, and they had an outsized benefit in 2024. But we are building momentum, credibility, and relevance in this growing market. And we look forward to updating you on our progress in reinvigorating our consumer business over the upcoming quarters. Now, Todd is going to provide further details on our fourth quarter financial results and our full year 2025 outlook. So over to you, Todd.
Todd Cello: Thanks, Chris, and let me add my welcome to everyone. As Chris mentioned, in the fourth quarter, we exceeded our guidance for revenue and adjusted EBITDA, driven by outperformance in non-mortgage financial services and international. Fourth quarter consolidated revenue increased 9% on a reported and organic constant currency basis. There was no impact from acquisitions and an immaterial impact from foreign currency. Our business grew 4% on an organic constant currency basis, excluding mortgage from both the fourth quarter of 2023 and 2024. Comparison against high breach activity in the prior year quarter was a 1% revenue headwind. Adjusted EBITDA increased 16% on a reported and constant currency basis. Our adjusted EBITDA margin was 36.5%, up 230 basis points and above the high end of our expectations. Adjusted diluted earnings per share was $0.97, an increase of 21%. Our adjusted tax rate for the quarter was 25.1%, slightly higher than expected due to the mix of foreign earnings. Finally, in the fourth quarter, we took $34 million of one-time charges related to our transformation program, $8 million for operating model optimization and $26 million for technology transformation. We incurred $179 million of one-time transformation expenses in 2024. Looking at segment financial performance for the fourth quarter, U.S. markets revenue, which includes Consumer Interactive was up 8% compared to the year ago quarter. Adjusted EBITDA margin was 39.4% or up 300 basis points, driven by revenue growth and transformation cost savings. Financial Services revenue grew 21%. Excluding mortgage, Financial Services revenue was up 7%. Trends remained consistent with year-over-year growth improving sequentially as we lapped the slowdown in activity from late 2023. We continue to outperform modest volume growth, driven by the successful cross-sell of our innovative solutions. Our credit card and banking business was up 6% against tempered online volumes. We delivered healthy new business wins for trusted call solutions as well as data enrichment and the broader TruIQ Analytics suite. Consumer lending revenue grew 3%. FinTech lenders slowly resumed marketing activity with select lenders increasing originations. We also delivered healthy new logo wins from alternative lenders throughout the year. We believe consumer lending will grow well in 2025. Our auto business grew 7%. New car sales expanded, but used car sales remain tempered. Our team finished the year well with wins across fraud, alternative data and marketing as well as verification of income and employment solutions through our Truework partnership. For mortgage, revenue grew 80% compared to inquiry volumes up 4%, modestly below expectations as the 10-year treasury rate increased 80 basis points throughout the quarter, adversely impacting the 30-year mortgage rate. In 2024, mortgage accounts for about 11% of total TransUnion revenue. Emerging Verticals grew 4% in the quarter, led by double-digit growth in insurance. Public sector, media and tech, retail and e-commerce, all grew low-single-digits, offset by low-single-digit declines in tenant and employment and telco. Insurance grew double-digits as market trends progressed as anticipated. Insurance shopping remains active and marketing activity continues to recover as rate adequacy steadily improves. The business continues to deliver broad-based new wins, both in core credit and driving history as well as trusted call solutions and our modern marketing products. Turning to Consumer Interactive. Revenue decreased 11% as expected as the business lapped a sizable breach win from the prior year. Excluding the breach headwind, revenue declined due to the direct channel. Within U.S. markets, Neustar finished the year well. For the year, Neustar grew mid-single-digits and expanded adjusted EBITDA margins to 35%, up from 31% in 2023 and ahead of our expectations. We have now delivered $100 million of Neustar cost synergies, exceeding our initial $70 million target. This is in addition to the enterprise-wide benefit of Neustar's underlying technology as the destination platform for our technology modernization. For my comments about International, all revenue growth comparisons will be in constant currency. For the total segment, revenue grew 12% with three of our six reported markets growing by double-digits. Adjusted EBITDA margin was 43.8%, up 20 basis points. Now let's dig into the specifics for each region. India grew 18%. Online consumer credit volumes declined modestly with revenue growth driven by product and vertical diversification, commercial credit and direct-to-consumer solutions as well as new products like our API marketplace drove growth. The Indian consumer credit market remains tight due to the Reserve Bank of India's proactive actions to temper the pace of lending by tightening regulations on unsecured lending, and targeting lower loan-to-deposit ratios industry-wide. We see signs for potential thawing in the consumer credit market throughout 2025. Loan-to-deposit ratios are approaching target ranges and a few impacted nonbanking finance companies received approval to lend again. Additionally, the RBI cut interest rates by 25 basis points during its meeting last week and signaled further reductions in the first half of the year. This is in the context of slowing inflation and consumer delinquencies below long-term averages. With that said, we expect credit volumes to remain soft in the first half of the year. The first quarter also compares against robust activity in the prior year quarter when many customers exceeded their volume commitments. We expect India to grow modestly in the first quarter, improve in the second quarter, and return to faster growth in the second half. Our guidance assumes roughly 10% growth in India in 2025 with a much stronger trajectory exiting the year. We believe our guidance captures a prudently conservative scenario for the Indian market. Our UK business grew 3% against broadly consistent trends. We experienced gradually improving banking and FinTech conditions with new business wins across our vertical portfolio, setting the market up for a solid 2025. In Canada, we grew 8%, driven by new and expanded consumer indirect contracts, continued recovery in insurance, breach wins, and cross-selling new identity solutions. In Latin America, revenue grew 15%. Colombia grew high-single-digit, led by FinTech and our fraud solutions. Brazil grew over 20% and our other Latin American countries also grew in the high-teens. In Asia-Pacific, we grew 20% led by strength in the Philippines. Asia-Pacific crossed $100 million in annual revenue for the first time in 2024. Finally, Africa increased 8% with broad-based growth led by our retail vertical. On January 16, we announced an exciting step in our proven international growth strategy with our agreement to acquire majority ownership of TransUnion de Mexico, the consumer credit business of the largest credit bureau in Mexico Buró de Crédito. The deal is expected to close toward the end of 2025 and is not included in our 2025 guidance. Our investor presentation, which is available on our Investor Relations website, provides further details. Turning to the balance sheet. We ended the quarter with $5.1 billion of debt and $679 million of cash on the balance sheet. Our leverage ratio at year-end was 3x. We made a $45 million voluntary repayment in the fourth quarter for a total of $150 million in 2024. Since announcing our Neustar acquisition, we voluntarily prepaid $1.6 billion in debt. In December, we refinanced $2.3 billion of our term loan, extending our maturity profile and reducing our annual interest expense. Our voluntary prepayments and refinancing activity in 2024 drove $24 million of annual savings. At the end of 2024, we replaced an expiring swap, which had $1.3 billion notional value and a rate of 4.3% with a new swap that has $1.1 billion notional value at a lower rate of 3.5%. 72% of our debt is now swapped to fixed rate. Net of swaps our all-in average effective cost of debt at today's rates is 4.3%. In the appendix of our presentation, we provided a slide on our debt profile and a bridge to 2025 expected interest expense. Turning to guidance. At the high end of guidance, we are assuming muted but stable lending volumes to persist throughout 2025. We are not anticipating any revenue from interest rate reductions. We also took a conservative approach to our assumptions for U.S. mortgage volumes and Indian credit growth, two of the largest swing factors in 2025. That brings us to our outlook for the first quarter. We expect FX to be a 1% headwind to revenue and 2% headwind to adjusted EBITDA. We expect revenue to be between $1.06 billion and $1.074 billion or up 5% to 6% on an organic constant currency basis. Our revenue guidance includes approximately 2 points of tailwind from mortgage. We expect to again benefit from the pricing actions of a third-party scores provider through 2025. In the first quarter, we expect mortgage inquiries to decline more than 10%. Excluding mortgage, we expect the business to grow 3% to 4% on an organic constant currency basis. We expect adjusted EBITDA to be between $376 million and $384 million, up 5% to 7%. We expect adjusted EBITDA margin of 35.5% to 35.8%, up 40 basis points to 70 basis points, driven primarily by the annualization of transformation cost savings. We also expect our adjusted diluted earnings per share to be between $0.96 and $0.99, up 4% to 8%. Turning to the full year. Our guidance does not include any impact from our announced acquisitions of Monevo nor TransUnion de Mexico, which have not yet closed. We anticipate FX to be a 1% headwind to revenue and adjusted EBITDA. We expect revenue to come in between $4.333 billion and $4.393 billion or up 4.5% to 6% on an organic constant currency basis. We expect our organic constant currency growth, excluding mortgage to be up 2.5% to 4%. These growth rates include a 1% headwind from lapping against last year's large breach win. For our business segments, we expect U.S. markets to grow mid-single-digits or up low-single-digit, excluding mortgage. We anticipate financial services to be up low-double-digit or mid-single-digit, excluding mortgage. We expect mortgage revenue to increase about 20%, despite modest declines in mortgage inquiries. We expect emerging verticals to be up mid-single-digit. We anticipate Consumer Interactive decreasing low-single-digit, but increase low-single-digit when excluding the impact of last year's large breach win. This underlying improvement from 2024 provides a foundation for further acceleration in 2026 and beyond as we execute on the growth strategy that Chris laid out and gain traction with our freemium offering. We anticipate international growing high-single-digits. Turning back to total company outlook. We expect adjusted EBITDA to be between $1.549 billion and $1.590 billion, up 3% to 6%. That would result in adjusted EBITDA margin of 35.8% to 36.2%, down 20 to up 20 basis points. We anticipated adjusted diluted earnings per share to be $3.93 to $4.08, up 1% to 4%. FX is a 2% point headwind to adjusted diluted earnings per share growth and higher adjusted tax rate is an additional 4% point headwind. Depreciation and amortization is expected to be approximately $570 million. We expect the portion, excluding step-up amortization from our 2012 change in control and subsequent acquisitions to be about $285 million as technology modernization initiatives go into production and start to depreciate. We anticipate net interest expense will be about $195 million for the full year; roughly $40 million lower than last year due to our prepayments and refinancing as well as lower SOFR. We expect our adjusted tax rate to be approximately 26.5%, which is higher than 2024. Like many large multinational companies, we are impacted by global tax reform driven by the OECD, such as the global minimum tax and changes to international tax treaties. Over the last six months, we have taken actions to restructure our legal entities to respond to the changing global tax environment. We remain focused on maintaining the most efficient tax structure but expect our adjusted tax rate for 2025 and going forward, to be higher than our recent historical rate given the current international tax landscape. Capital expenditures are expected to be about 8% of revenue. We expect to incur $100 million to $120 million in one-time charges in 2025 related to the last year of our transformation program. Slide 26 provides additional details on the drivers of adjusted EBITDA growth in 2025 based on the high end of our guidance. We broke the drivers down into three components. First is the incremental revenue flow-through less normal course people and cost inflation. Based on the high end of guidance, we expect $209 million of revenue growth to drive $104 million of incremental adjusted EBITDA. This represents healthy incremental margins even with significant revenue growth derived from trusted call solutions and mortgage scores pricing to areas with high royalty costs. We also expect a $10 million benefit from annualizing transformation savings based on actions taken in early 2024. We have now achieved $95 million of run rate transformation savings. Remaining savings, primarily driven by our technology modernization will be realized in 2026. Partially offsetting these positives are $30 million of targeted growth investments. This year, we allocated growth investments in support of the strategic initiatives that Chris discussed, including technology and platform enhancements, new product innovation, incremental sales specialists, and international expansion. We have incorporated an appropriate level of growth investment in addition to normal course cost inflation into our guidance, so we would expect any revenue growth upside to come at strong incremental margins. Before turning it back to Chris, I want to provide our refreshed perspective on capital allocation priorities. With our leverage ratio at 3x at year-end and further natural delevering anticipated in 2025, with a strengthening free cash flow profile, we anticipate a more balanced capital allocation going forward, including increased return to shareholders over the medium-term. I want to spend the next few minutes laying out our path to improving free cash flow, our priorities for capital deployment and an updated leverage ratio target, and how we define our high bar for M&A going forward. Starting with our free cash flow profile. Our free cash flow conversion, as defined as cash flow from operations less capital expenditures, as a percentage of adjusted net income has been lower over the last three years due to higher one-time expenses related to our operating model optimization, technology modernization and Neustar integration. We expect free cash flow conversion in 2025 to improve to about 70% as we execute on the last year of our transformation program. Starting in 2026 and beyond, we expect to return to 90% plus free cash flow conversion. We do not anticipate further accelerated technology investment add-backs upon completion of our current program, in addition to delivering roughly $130 million of operating expense savings from the program. We also expect to structurally lower our capital intensity to 6% of revenue in 2026 and beyond with an increasing tilt to more product and growth-related capital investment. Healthy earnings growth and stronger free cash flow conversion is expected to create significant capital capacity over the next few years. We plan to take a balanced capital allocation approach. Our priority remains to invest to grow the business. We expect to expand margins, while funding organic investments supported by revenue growth and ongoing business optimization. I will discuss our M&A strategy shortly, but we will explore bolt-on opportunities aligned to our growth strategy and currently do not anticipate large-scale acquisitions. Turning to leverage and liquidity. We are updating our leverage ratio target to under 2.5x. We believe this is an appropriate target for a company of our size and maturity. We expect natural deleveraging from adjusted EBITDA growth in 2025. Additionally, we will look for opportunities to optimize our debt structure and evaluate voluntary prepayments. Our stronger free cash flow and optimized leverage will enable us to deploy more cash to shareholder returns than has previously been our practice as a public company. We remain committed to growing our dividend alongside adjusted net income at a 10% to 15% payout ratio. And today, we announced that we are raising our quarterly cash dividend from $0.105 to $0.115. We also expect an increased bias toward share repurchases going forward, which we view as an attractive use of capital at our current valuation. Today, we announced that TransUnion's Board of Directors authorized a new $500 million share repurchase program, which replaces all prior repurchase authorizations. We plan to repurchase a modest level of shares this year. Our pace of repurchases in 2025 will be lower than what we anticipate over the medium-term as we balance continued delevering and managing capital ahead of our TransUnion de Mexico acquisition. Finally, I want to detail our disciplined approach to M&A. We view M&A as an important strategic tool, but the strength of our portfolio as well as our focus on ongoing business transformation creates a high bar. We are not seeking large-scale acquisitions but consider highly strategic and accretive bolt-ons. Our recently announced smaller acquisition of Monevo and particularly our acquisition of Mexico represent acquisitions that pass our criteria. These are two businesses in which we already had minority investments and high strategic interest. We do not anticipate further sizable M&A in 2025. Bolt-on M&A will be compared to all alternatives, organic investment, debt prepayments, and share repurchases. In addition to looking for acquisitions with attractive cash-on-cash returns and unlevered internal rates of return in excess of their cost of capital, we have several financial guideposts. We are looking for businesses that are additive to our revenue growth rate, have a path to scale profitability to company level margins, and can be accretive to adjusted diluted earnings per share by year two. If an acquisition takes us above our leverage ratio target, we want clear line of sight to be able to return to our leverage ratio range within a year. In closing, our refreshed capital allocation framework reflects TransUnion entering a new era. Our current portfolio and transformation strategy positions us for a generation of growth. We expect to accelerate free cash flow growth to support this balanced capital allocation strategy. I will now turn the call back to Chris for final comments.
Chris Cartwright: Thanks, Todd. To wrap up, we finished the year strong, exceeding fourth quarter guidance for revenue and adjusted EBITDA. We expect to deliver 4.5% to 6% organic constant currency revenue growth in 2025, assuming a muted but stable market backdrop, with material future revenue and margin upside when U.S. credit market conditions improve, and we're executing well against our business transformation to create a world-class operating model to modernize our technology capabilities and accelerate innovation. And with that, I turn it back over to Greg.
Greg Bardi: That concludes our prepared remarks. For the Q&A, we ask that you each ask only one question so that we can include more participants. Operator, we can begin the Q&A.
Operator: [Operator Instructions]. And the first question will come from Jeff Meuler with Baird. Please go ahead.
Jeff Meuler: Yes. Thank you. Good morning. So I hear you on fifth consecutive quarter above consensus and you're saying prudent conservative guidance methodology and the numbers appear conservative. But I'm trying to reconcile that with the high end of the guidance range, assuming similar conditions in 2024. I guess are you viewing stable markets as a prudent or conservative assumption given that you're showing the markets are cyclically depressed and leading indicators are looking better? Or just any help reconciling those thoughts? Thank you.
Chris Cartwright: Yes. Sure. Good morning, Jeff, let me start off. What we're trying to convey here in the guide is that the business conditions that we experienced in the fourth quarter and in roughly the first six weeks of the year are fairly consistent. We appreciate the stability that we experienced over the course of 2024 and in Q4 and year-to-date. But it's important to point out that those market conditions, while stable, are still muted relative to longer-term origination patterns. So in this first call of the year, where we're establishing the guidance framework for 2025, we want to be prudently conservative in establishing the guardrails. We're not assuming any substantial improvement in market conditions over the course of the year. We're not assuming lowering of interest rates or anything like that. We're just saying the macro conditions, which are pretty good, but not great, will continue to be so, and we'll continue to increase our bookings, convert that to revenue, retain our customers benefit from our improved innovation across the range of products and post solid growth over the course of the year. Now if you look back just a year when we guided at the beginning of 2024, we had a very similar view of market conditions. We guided 3% to 5%. At that point in time, we said it was prudent and it was conservative, and it wasn't assuming any macro upside over the course of the year. And we were fortunate we were able to materially outperform those numbers. So hopefully, that gives you some context to how to think about the guide for 2025. Todd, is there anything I -- no, Todd's good. Okay.
Jeff Meuler: Okay. Thanks, Chris.
Operator: Our next question will come from Andrew Steinerman with JPMorgan. Please go ahead.
Andrew Steinerman: Hi, I wanted to ask about the CI revenues for 2025, looking up low-single-digits, excluding the breach revenues from 2024. How do you think indirect and direct will each fare in 2025? And might the new branded freemium offer affect TRU's revenues from other indirect partners.
Chris Cartwright: Yes. I mean, let's step back just for a second, Andrew, from the specific growth rates of those two components of the business. And just recognize that today's announcement is a big step forward in TransUnion's innovation and also kind of rehabilitating the consumer business. For some time, we've said that we needed to have a broader range of products to fully monetize the consumer traffic that we were naturally generating from our brand and also our advertising efforts. Of course, we were good about credit education, credit score access and single and tri-bureau monitoring, but we needed identity protection and breach remediation. We got it with Sontiq, and we've grown that business dramatically. We also needed a broad offers capability to support a freemium product. And we needed to redesign our front-end user interface to integrate those three key service areas into something that was appealing and accessible to consumers. In this partnership with Sesame, and again, Sesame has been a strategic partner of ours for some time now. We get a great user interface. We get a great app. We get a mature offers engine. And again, as we mentioned in our commentary with the acquisition of Monevo, which we feel is a world-class offers engine. We've got a path to integrating that product into the Revised GUI. So we have accomplished all of the strategic improvements in the product line that we set out to do. That should translate into better growth in our direct-to-consumer business, but also better growth in our indirect business over time because we're now bringing multiple products with a refined user interface in API to our indirect customers. So it's a strategic reset in the business, and I think it's a real positive.
Andrew Steinerman: Okay.
Operator: And our next question will come from Toni Kaplan with Morgan Stanley. Please go ahead.
Toni Kaplan: Thanks so much. I want to ask about India. I know that your guidance does typically try to be conservative. 10% just does seem like a really big slowdown, but I know that there's a lot that's going on in that market. I guess, how much visibility do you have into sort of the growth there? And what could drive upside or downside to the 10%? Thanks.
Chris Cartwright: Yes. Let me start at a high level here because we've been talking about the slowdown in the Indian market, as orchestrated by the RBI for about four quarters now. And there have been a number of policy as well as leadership changes within the RBI that are important to understand. The previous governor of the RBI whose term ended late last year after five years has been replaced by a different governor. There has also been a shift in the stated policy toward the lending markets by the RBI, and you can read the recent announcement from the RBI about this. But in short, last year, the previous administration was purposely trying to decelerate lending volumes. They were concerned by some of the practices they saw in the market and they asked certain lenders to pause their lending operations, right? And they also were trying to get banks the loan-to-deposit ratios to improve. They felt like they'd become a little bit stretched. As a consequence of that, GDP in India slowed. And so the RBI has now stated a bit of a policy modification where they're going to emphasize, of course, safety and soundness as the prior leadership did, but also the efficiency of the economy, right? So they're signaling that they are rebalancing toward growth and driving India GDP growth overall. And to support that, they recently cut rates by 25 bps, and they've announced that they have achieved their goals on loan deposit ratios and those few lenders that have been sidelined now have permission to begin origination. So we think that's a sea change in policy. That said, the conflict in the policies has led to some bumpiness in the performance of the consumer lending side of our India business, which again is about 60%. So it's been slowing down over 2024 quarter-over-quarter against very high comps, I might add, and we would expect in 2025 quarter-over-quarter reacceleration as the shift in policy permeates through the market.
Toni Kaplan: Thank you.
Operator: Our next question will come from Faiza Alwy with Deutsche Bank. Please go ahead.
Faiza Alwy: Yes. Hi, thank you. I wanted to ask about mortgage. So a couple related questions. So the down 10% inquiry decline in the first quarter and then modest declines for the year. I'm assuming that, that is related to what you're seeing with soft pulls or prequal. So maybe give us some perspective there and whether you think we're done with the shift towards these one bureau soft pulls. And any perspective on pricing that you're taking broadly in mortgage?
Todd Cello: Okay. Great. Good morning, Faiza. Thanks for the question. I'll take this one for you. So as far as what we're seeing and then how we're guiding mortgage, as you said, first quarter, we're saying down 10% and then down modestly for full year 2025. Consistent with Chris -- how Chris has talked about the guide for the full year, we are assuming consistent trends with the fourth quarter, and what we've been able to see in the first quarter of 2025 to-date. So what that means is we don't have any assumption of a benefit from interest rate reductions in our numbers. If you're looking to compare our volume number to other numbers that you see from other players in the market space, it is important to remember that we calculate our inquiries differently in that we do include prequalification volumes into that. So as far as what we see is that we're taking a consistent approach as it pertains to pricing as well. We do have a material increase in mortgage from a third-party score provider, that we're taking the same approach that we did last year on the pass through of that. And it also does assume normal course type of pricing on our credit file, which is exclusive of the score, which we also took some opportunistic pricing actions on as well. And specifically to the point on prequalification, what we're seeing today is that the majority of the mortgage revenue is still tri-bureau. But however, we have in the prequal space, seen some shift from three to one to maybe two poles for a prequalification throughout 2024. We've contemplated further shifts within our 2025 guide, where we have visibility. But I think what's most important and instructive is our sales team continues to win our fair share in the prequalification market.
Chris Cartwright: Yes. And I would just add that it's important that investors understand that it's unlikely the market at prequalification is going to go from pulling three credit reports to one credit report because savings, while important is also -- has to be balanced with revenue generation. So what I mean by that is, if you're a mortgage provider in a consumer shows up at your door, you've got a revenue opportunity if that consumer qualifies. Now if you pull one bureau, the consumer may not qualify. But bureaus have different data and different scores. If you pull more than one to odd of qualifying that consumer and thus recognizing revenue improve. And so you may see some efficiency here in terms of a reduction in the number of reports pulled, it's not going to be a race to one.
Faiza Alwy: Great. Thank you.
Operator: The next question will come from Manav Patnaik with Barclays. Please go ahead.
Manav Patnaik: Thank you. I just wanted to touch on Slide 8, where you talked about the below trend levels. Broadly, I mean, are you able to quantify like if those kind of return to trend, what -- how that might impact your business? And just as a quick follow-up. I mean it looks like cards and key loans might be above trend if you're thinking of it as pre-COVID trends. So just curious how you think about that one.
Chris Cartwright: Well, Manav, I can't offer you an on-the-fly estimate of value to be captured when we return to normal trend lines. But as you know, volumes have been depressed for a couple of years now, plus because of inflation, because of the aggressive rate hikes by the Fed. Now that is normalized and eased we're in a more stable condition, which is allowing us to post growth. That said, this administration has said that they're about reducing regulations, to enable further growth. They want to adopt various fiscal policies and others to accelerate growth and, over time, manage down interest rates. If successful, you would expect that consumers and banks themselves will continue to strengthen, and we can expect higher lending activity across these various categories. So I guess, in sum, I would say the opportunity for volume rebounds, it's not simply mortgage refinancing which may or may not happen to the degree that's been estimated. But it's really across the whole lending portfolio. And the way we're positioned currently is the upside on a product mix that shifts more toward credit origination, not only does it drive revenue, but it's substantially more profitable because the fall-through is so high. And in recent years, we have been posting higher growth in areas that have a lower contribution margin because they come with a licensing cost or just a higher cost of goods sold than the credit products that we originate. As the cycle shifts and as the mix shifts more toward credit, you're going to see margin profit revenue upside that is material across our enterprise. So I think I'll leave it at that.
Operator: All right. And our next question comes from Jason Haas with Wells Fargo. Please go ahead.
Jason Haas: Hey, good morning, and thanks for taking my questions. I'm curious if you could provide an update on how you're thinking about the regulatory environment, if you've seen any changes or expecting any changes with the new administration coming in either on your customers or you directly? Thank you.
Chris Cartwright: Well, Jason, you win the award for most understated question of the call thus far. Yes, we've seen a few changes at the CFPB and elsewhere. I mean, obviously, this administration has radically different views about regulation and regulation in the financial services industry. And I expect the impact of that is going to be quite material. As we all know, the incoming administration has asked the CFPB to really cease all activities. They put them on hold, whether it's supervision or enforcement or litigation or whatever the case may be. And they are currently appointing new leadership that is expected to -- well, I guess, to effect really substantial changes in the regulatory environment. And I think we're just going to have to wait and see how that plays out. But right now, it's a pause. It's a limbo, if you will. It really has not affected how we operate, though. We just have to keep focused on doing the right things for customers, trying to serve them as best we can, minimize the errors that we make. And when we do make a mistake, do what we always do, which is work hard to make the customer hold and to fix whatever problem has happened operationally that led to the error. So we're going to keep doing that, and we're going to wait for the regulatory landscape to calm down a bit, and then we'll move forward.
Jason Haas: Very helpful. Thank you.
Operator: Our next question will come from Andrew Nicholas with William Blair. Please go ahead.
Andrew Nicholas: Hi, good morning. Thanks for taking my question. I wanted to ask on Neustar specifically and kind of the outlook for next year, maybe not quantitatively, but trying to understand the kind of state of the advertising and marketing business, in particular, whether or not there appears to be any acceleration in appetite or demand from your end clients outside of trusted call. Thank you.
Chris Cartwright: Yes. Well, clearly, of the three pillars of the Neustar business, fraud, marketing and communications. Communications has been the outperformer over the first three years of our ownership. And it's helped us average up to mid-single digit growth during what has been a soft market on both the credit side and our various other product offerings. The Neustar story, we believe is strongly positive in a variety of ways. First, it has been accretive to our average earnings over this period although I do acknowledge it's certainly below what we'd expected when we first guided the revenue. We've also done a great job at driving profitability at Neustar. We committed to $70 million in savings. We've delivered $100 million of integration synergies, and we've entirely reconstituted the product portfolio on our new OneTru platform and are accelerating our pipelines in our bookings, in fraud, in marketing and, of course, trusted call. So over the intermediate longer-term, I expect Neustar growth is going to increase and increase over time to what we guided initially mainly because we're done digesting the asset, and we have realized much of the innovation benefits of pulling together all of the great marketing solutions that we own with all of their great marketing solutions. And again, the hidden value in this deal was the underlying technology, which has now ceded a complete modernization of our tech stack in the U.S. and eventually globally starting in 2026, as I indicated in my remarks, we've already identified the countries that we're going to migrate on to this platform. And look, I think it's really powerful. We have said as part of our next-gen program that we're going to save $200 million in free cash flow once we fully realize the benefits of our tech modernization and our global operating model, that $200 million in savings, hard savings from our tech modernization. First, it's unique in our industry, right? And I think it reflects how profound the tech benefits are. And secondly, it's also accelerating our innovation, as you can see, with the long list of next-generation products that we brought to market next year. Now in terms of the next quarter over the course of this year, do we see a material improvement in the market, perhaps -- but we don't see any worsening, and we're highly confident that we're positioned to compete much, much better in both fraud and marketing over the course of 2025.
Operator: Our next question will come from Ashish Sabadra with RBC Capital Markets. Please go ahead.
Ashish Sabadra: Thanks for taking my question. Just wanted to focus on the margins. Obviously, the growth investments are almost like a 70 basis point of headwind to margins this year. But as we think about over the mid-term, how do you balance the growth investments with the operating leverage and continue to drive much more robust margin expansion? Thanks.
Todd Cello: Good morning, Ashish. Thanks for the question. So yes, if you're referring to the bridge that we provided for our adjusted EBITDA growth year-over-year. When you look at the -- let's just talk about the columns that you're seeing there. When you look at the first column, we're basically -- if you look at the high end of guidance, it's about $209 million of revenue, incremental and EBIT is about $104 million, which would suggest about a 50% margin flow through. What's important to callout here is that, that bar doesn't just capture our revenue less our variable product cost. We also put a lot of our other normal course expenses in there, such as merit increases as well as the cost for our technology and the re-platform and the software expense, the cloud expense. The revenue growth, as Chris just said, in a prior response, has been skewed more towards our trusted call solutions as well as third-party scores, which do carry higher operating expense and has a lower contribution margin, still a really attractive contribution margin, but nevertheless, lower than just selling pure -- pure credit. So to the point that Chris was making it was pertaining to the question that Manav had asked. There's a material impact in positive impact in credit volume throughout 2025, you'll see a really good flow-through and this bar will look significantly better. If you look at the second bar, that is the $10 million. That's on top of the $85 million that we realized in 2024. So we get another $10 million benefit. And as you know, we're not done with the transformation program. Always our intention that the -- our transformation program would take through the end of 2025 and that we were going to enjoy a significant amount of margin increase in 2024, which was 90 basis points related to that $85 million plus the other business performance. So there's more cost savings that will come in 2026 at the conclusion of the tech modernization. The final bar that you see is our attempt to be transparent with you. We're showing you intentionally where we are putting investment dollars. So everything that's not in that first bucket we put into this last category. And you can see is what's included in there are further enhancements for the technology product innovation. So to the question about Neustar that Chris just answered, a lot of costs still going in to enable our new platforms like TruAudience for marketing and TruValidate for fraud, which we put into place in 2024. But we also need -- we need incremental specialists, whether that's on the product side or the sales side. So that's contemplated in this number. And the last piece of it, as it's noted on the slide, and it's just worth a second to talk about it is the international expansion. Our international portfolio continues to perform really well. We've seen some softening in India. We don't believe that, that's a structural issue. It's more of a cyclical impact to the business. We're super excited about the favorable demographics in that market. The governments supporting financial inclusion. And just overall, how we've diversified the portfolio and the benefit that we get there. So what that means is we need to continue to invest in areas like India. So that's what you're seeing here. So we're taking a very long-term approach towards how we build this guidance for EBITDA thinking about the future and making certain for making the necessary investments.
Operator: All right. The next question will come from Surinder Thind with Jefferies. Please go ahead.
Surinder Thind: Thank you. Chris, as you think about innovation in terms of your product road map and everything that's coming out. As the rollout of products accelerate, what does that mean for your growth rate? Is that -- should we be -- when we look in the outer years, perhaps entering a period of above-trend growth all else equal? Or is that intended to kind of support what would be a normalized growth rate?
Chris Cartwright: Well, during the turbulence of the prior years, we withdrew our long-term growth guide. But I think we have said that we continue to believe that this business can and will compound at high-single-digit revenue growth. And we achieved 9% last year. That's terrific. We're guiding 4.5% to 6% this year. Now that said, this is the beginning of the year, and we've been prudent and conservative in issuing that guide. And look, last year, been offset again this year, we orient ourselves more towards the high end of these things. That's what we're trying to achieve over the course of the year. I think this innovation and the improvement in our product competitiveness in all these categories is only a net positive to our ability to win and retain and to grow over time. That's the point of it. And look, the reengineering, the replatforming, the innovation is enormously profound. I'll give one quick example. Post the Neustar acquisition in the marketing category, if you looked at all of the products that we had built, they had built or had been acquired, we had 87 different marketing point solutions across TransUnion. Those solutions were built on six different technology platforms. We have since integrated all 87 down into one integrated end-to-end market solution called TruAudience. And that solution is now a destination workspace for marketers, and it's built on the same platform that has all the print data and all the fraud-related signal. It's a very powerful step forward in terms of our product capabilities and it's representative of what we're doing in every product category.
Operator: And our last question will come from Kelsey Zhu with Autonomous. Kelsey, please go ahead.
Kelsey Zhu: Hi, good morning. Thanks for taking my question. So 2024 saw pretty tight credit supply. And I think many investors hold the view that supply side will see improvement in 2025, particularly in the second half of the year. How should we think about customer demand for more credits? What's going to drive the recovery in customer demand, particularly in a higher or longer rate environment?
Chris Cartwright: Yes. Good question and a good place, I think, to finish on. Well, first, on the supply side, if you go back to 2023 in the third quarter where we experienced a real step down in origination activity in September of that quarter, it was because of a disruption in supply. Rates were -- had increased materially. In Q3, money was migrating out of bank deposits into money market accounts. And of course, the market itself had been destabilized by some uncertainty in bank safety and soundness, Silicon Valley Bank and others. And so the lending industry, the supply side clamped down on deposit seeking stability. And since that point, they have been consistently replenishing their deposit bases, right? And so if you look at the mid-tier, if you look at community investment, banks et cetera, they've all replenished the supply side, and they're increasingly eager to deploy that, which is why I think the growth rates for the third and the fourth quarter reflect greater availability. Now you had to contrast that with some concerns about consumer health, right? We had some rising delinquencies in categories that gave some lenders pause. Some of those delinquencies -- many of them actually related to loan vintages that were issued in the COVID era where there was noise in the credit scores. All of the various financial support that the government offered to consumers caused credit scores to drift up, which led to more origination offers under the presumption of stronger consumers. It turned out that, that inflation was temporal, if you will, and that led to higher delinquencies. Now the delinquencies are normalizing, if you will, in terms of rates of change, and the supply side is healthy, and I think we'll remain healthy with higher interest rates driving higher net interest income across financial services, you're positioned to see some improvement in lending activity. I also think consumers are starting to adjust to higher interest rates and realizing that the current rates, while a lot higher during the era of quantitative easing are not high by historical standards. And so you're seeing some more comfort and therefore, more transaction activity. And then the last thing I would point out is that a lot of consumers who got loans, particularly subprime consumers during the COVID era, they levered up their card balances pretty quickly. Now they need debt consolidation loans. And you're seeing more funding flow back into the FinTechs who are really overweight on debt consolidation and many of them are starting to post material increases in their origination volume. So look, those are the dynamics we're looking at. It seems stable to solid. Clearly, things are a bit bumpy right now. Part of that is the change in administration. But some of the underlying dynamics, the macro conditions, the health of the supply side of the industry and consumer fortunes seem pretty solid. So hopefully, that discussion of puts and takes gives you some context.
Kelsey Zhu: Thanks a lot.
Greg Bardi: Perfect. I think that's a great place to end the call. Thanks for your time, and have a great rest of the day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.